Operator: Welcome to the Travel + Leisure Co. Q1 2025 earnings call. At this time, all participants are in a listen-only mode. If anyone should require operator assistance, please press star zero on your telephone keypad. A question and answer session will follow the formal presentation. In the interest of time, we ask you to please ask one question and one follow-up. As a reminder, this conference is being recorded. It's now my pleasure to turn the call over to Mike Hug, Chief Financial Officer. Please go ahead, Mike.
Mike Hug: Thank you, Kevin. Good morning to everyone. Before we begin, we would like to remind you that our discussions today will include forward-looking statements. Actual results could differ materially from those indicated in the forward-looking statements. The forward-looking statements made today are effective only as of today. We undertake no obligation to publicly update or revise these statements. The factors that could cause actual results to differ are discussed in our SEC filings, in our earnings press release accompanying this earnings call. You can find a reconciliation of the non-GAAP financial measures in today's call in the earnings press release available on our website at travelandleisureco.com/investors. This morning, Michael Brown, our President and Chief Executive Officer, will provide an overview of our first quarter results and outlook. Then I will provide greater detail on the quarter, our balance sheet, and outlook for the rest of the year. After our prepared remarks, we will open up the call for questions. With that, I'm pleased to turn the call over to Michael Brown.
Michael Brown: Good morning, and thank you for joining our first quarter earnings call. I look forward to expanding on the strong first quarter results you saw in our press release earlier today, as well as handing the call over to Mike Hug for a review of our financial performance. This will be Mike's last earnings call, and I would like to thank Mike for his twenty-six years with our company and his last seven as the first and only Travel + Leisure Co. CFO. During his leadership, Mike has seen us grow revenues from $500 million to $4 billion, has brought the company public, navigated us through the great financial crisis and COVID, and has been integral in ensuring we execute against our operational plans and our capital return strategy with incredible consistency. Thank you, Mike. In quarter one, we delivered $202 million of adjusted EBITDA, at the high end of our guidance range. Our vacation ownership business was once again driven by VPGs well above $3,000. Consolidated adjusted EBITDA margins grew from 21% in the prior year to 22%. We also continued to return capital to shareholders through dividends and share repurchases. Our dividend increased 12% to $0.56 per share, and share repurchases were $70 million or 1.3 million shares in Q1. Before I address the question we're asked most often, which is how is the consumer, let me first take a moment to revisit who our 800,000-plus owners actually are. On average, they're 59 years old, with a household income in excess of $110,000 and a tenure of about 17 years. Eighty percent have fully paid off their ownership, and our newest buyers, 65% of whom are Gen X, Millennials, and Gen Z, reflect the appeal of our product across generations. In short, our consumer KPIs performed very well in Q1. Consistent with the broad commentary in the marketplace, we recognize there is incrementally more uncertainty in the macro outlook, and consumer sentiment has fallen progressively in 2025. Our perspective is that we will continue to monitor the available data; however, we have not seen meaningful changes in our company-specific KPIs. Our owners showed continued demand for vacation ownership in the first quarter. This was most clearly reflected in our best daily measure, volume per guest or VPG. Our VPG was $3,212, up from 2024 and notably above $3,000. We also measure consumer demand through our owners' desire to visit our properties, as shown in resort bookings. We saw an acceleration of resort bookings as the quarter progressed. Mike will speak to a third important KPI during his overview. Our performance in Q1 is a great reminder of the characteristics of the timeshare business that are often overlooked, starting with the reality that our owners continue to prioritize their travel and generally do not view vacations as discretionary. Travel patterns do tend to shift with economic conditions, and in that regard, we monitor drive-to versus fly-to arrival percentages as well as booking windows. There has been no change in the percent of owners driving to our resorts, and we have only seen a modest reduction in our booking window. Compared to the same time last year, the booking window has We see strong build for the upcoming months, and our second quarter reservations on the books are in line with expectations. When you combine VPGs, forward bookings, and travel trends, we currently see our consumer as quite resilient. We also observed that our investments in technology are beginning to yield higher owner satisfaction. The Club Wyndham app has now been downloaded by nearly 100,000 owners or approximately 20% of our Club Wyndham owner base. This is up from 40,000 downloads when we last reported. The app is driving a search-to-book conversion rate of 71%, representing a 22% increase compared to the booking conversion on the owner website. As I mentioned in our last call, we will deploy a similar app to our 200,000-plus WorldMark owners later this year. Additionally, our resort operations team has deployed texting capabilities, increasing on-site satisfaction scores to new highs in Q1. All of this is to say demand was solid in Q1, and our satisfaction rates are increasing. Moving to travel and membership, industry consolidation continues to drive the migration from external to internal exchanges, putting continued pressure on the segment. Exchange transactions were down in the quarter; however, the business had its strongest exchange year-over-year transaction performance toward the end of the quarter. Our travel club business showed transaction growth of 3% in the quarter, with an expectation of acceleration in Q2, highlighting an opportunity to support the Traveler membership segment. Q1 is typically the strongest transaction quarter; therefore, transaction trends and margin will remain our focus in Q2. Our VO strength more than offset weakness in this segment, and we expect a similar dynamic throughout 2025, albeit with different orders of magnitude. Lastly, let me touch on our brand strategy. Starting with our partnership with Wyndham Hotels, Blue Thread performance in Q1 contributed 7% of new owner tours, with the VPG more than 20% higher than other new owner channels. Our relationship with the core in Asia Pacific has been performing for a year with good success. Sports Illustrated remains on pace to start sales in 2025, and we have dedicated significant resources to reinvigorate our sales and expansion efforts for Margaritaville. We announced the new Margaritaville Resort in Orlando that will open in 2027, placing a vacation ownership resort next to the successful 265-room Margaritaville hotel and 900 Margaritaville cottages on the doorsteps of Disney. We have nearly completed an organizational realignment to marry strategy, economic objectives, and people around our brands. Although it is a subtle change, it is one that ensures we are laser-focused on the successful execution of these brands. As we look to Q2, on the back of the strength from Q1, we are projecting $250 million of adjusted EBITDA with a range of $5 million on either side. We are reiterating our full-year adjusted EBITDA outlook. Mike will provide more details on this outlook, and with that, let me hand the call over to Mike.
Mike Hug: Thanks, Michael. And also thanks to everyone for joining us this morning. All of my comments will refer to comparisons to the same period of the prior year unless specifically stated. For the March quarter, we reported adjusted EBITDA of $202 million and adjusted diluted earnings per share of $1.11, increases of 6% and 14% respectively. Breaking this down into more detail for our two business units, vacation ownership reports segment revenue of $755 million, an increase of 4%, while adjusted EBITDA increased 18% to $159 million. VPGs continue to remain strong, coming in at the higher end of our range. Tourflow was down 1% for the quarter, but we did see year-over-year tour growth in March, which we expect will continue into the second quarter and the remainder of the year. As it relates to the loan portfolio, during the quarter, the improvement in portfolio delinquencies we usually see from December to March did not occur. With this in mind, our current full-year EBITDA guidance remains unchanged and reflects a provision rate of 21%, which assumes delinquencies stay at current elevated levels compared to historical trends. Revenue in our travel and membership segment was $180 million, down 7%, and adjusted EBITDA of $68 million for this segment was down 9%, driven by a 13% decline in exchange transactions. While Travel Club transactions were up year-over-year, the growth in these transactions is not yet sufficient to cover the drop in exchange propensity. Now let me provide some more detail about expectations for the second quarter and full year. For the second quarter, overall, we expect adjusted EBITDA in the range of $245 million to $255 million. In Vacation Ownership, we expect second-quarter gross realized sales of $620 million to $640 million and VPGs of $3,050 to $3,150. As Michael mentioned, for the full year, we are reiterating our guidance range of $955 to $985 million for adjusted EBITDA, with the range for the Travel Membership segment moving to flat to down 2%. Moving to cash flow and our balance sheet, we generated $121 million of operating cash flow and $152 million of adjusted free cash flow for the quarter. As we previously said, we expect our adjusted EBITDA to free cash flow conversion to be in excess of 50% this year. On the balance sheet, we continue to have consistent access to the capital markets and closed our first ABS transaction of the year. The $350 million transaction had terms that were identical to our last transaction in 2024, with an advance rate of 98% and an interest rate of 5.2%. We also renewed our $600 million ABS condo facility in April, pushing the maturity date to August of 2027. Our leverage ratio in the first quarter was 3.3 times. Consistent with prior years, we expect our leverage rate to increase in the next two quarters and then decline in the fourth quarter, ending the year below 3.4 times leverage. With the balance sheet in good shape, our capital allocation is focused on growing the business and returning capital to shareholders. As Michael mentioned, in March, we increased our dividend to $0.56 per share for a total of $41 million in the first quarter. This dividend, combined with our share repurchases throughout the quarter, resulted in $111 million returned to shareholders through the first three months of the year. We intend to recommend to our board a second-quarter dividend at the same rate of $0.56 per share. Before opening up the lines for questions, I would like to thank the entire team at Travel + Leisure Co. for delivering another great quarter, which once again gives us great momentum heading into the busy summer months ahead. With that, Kevin, can you please open up the call to take questions?
Operator: Certainly. Our first question today is coming from David Katz from Jefferies. Your line is now live.
David Katz: Can you talk about what you've seen in April and then talk about T and M? I'd love to try and figure out where the solid core is for a pressured business. Those two things, please. Thanks.
Michael Brown: Good morning, David. Let me touch on T and M and vacation ownership, and then I'll hand it over to Mike just to see what he's seeing in April as it relates to the portfolio. The vacation ownership business continues to perform very well in the month of April. There's been no signs of that uncertainty that we're all feeling at the moment affecting our KPIs as it relates to the business. We just finished, as you're well aware, the Easter weekend, which is the peak of the month, and it was a very good weekend for us that reinforced that our consumer remains committed to travel and performing very well as it relates to the VPGs and overall tour flow. In the travel and membership business, we've mentioned on multiple calls that consolidation has continued to drive from external to internal exchange. We anticipate that migration does continue. But there does come a floor that we are trying to assess as we look forward. We were able to fully cover our shortfall in Q1 and, in fact, exceed the midpoint of our guidance, and we've incorporated being slightly down year on year as it relates to exchange as we move through the remainder of this year. To release the portfolio, let me hand that over to Mike and April.
Mike Hug: As it relates to the portfolio, as I mentioned in my comments, we did see increased delinquencies at the end of March compared to what we had expected when we had our last call back in February. However, the good news is in April, we are seeing improvement in collections. Keep in mind that in order to book a reservation, our owners have to be current on both their loan and their maintenance fees. So it serves as a great collection tool. So happy with what we're starting to see in April, but felt it was prudent to go ahead and take the provision in our full-year guidance up to 21%. Based on the elevated levels we saw at the end of March. And then we'll see, obviously, as bookings continue in the rest of the quarter, kind of how it shakes out as far as where we stand at the end of June, but April is off to a good start from a collection standpoint on the portfolio.
David Katz: Thank you.
Mike Hug: Sure. Thank you.
Operator: Thank you. Next question is coming from Patrick Scholes from Truist Securities. Your line is now live.
Patrick Scholes: Great. Good morning. Thank you. Mike, congratulations. Wishing you well on your retirement and future travels and endeavors.
Mike Hug: Thanks, Patrick.
Patrick Scholes: Great. Let's move on to some questions here. You know, it sounds like your core legacy owners are especially resilient, something we've seen in past economic downturns. Curious if you have any visibility or anything you can share with how your summer rental business for nonowners is looking. Thank you.
Michael Brown: Let me try to wrap two things in one here, Patrick. First of all, summer demand through our rental program remains consistent with what we would expect at this time of the year. There's no noticeable move either up or down. Summer rentals are very solid, and as everyone's aware, Q2 and Q3 are the peak seasons for us, not only for overall volumes but also new owner mix. As it relates to owner demand, we did want to point out, referencing also back to David's question, that our forward bookings in April look to be extremely solid for the summertime. So again, it's a good projection why we added the booking window of 116 days. That gives you really a four-month view out of how booking demand is, and it's right where we expected it to be. So overall, the summer seems to be shaping up in the way we had hoped for, which gives us confidence in our Q2 outlook.
Patrick Scholes: Okay. Thank you. And then shifting gears a bit here. You know, as far as your it implies in your one Q results, you had better closing rates than I guess The Street expected. What was the mix or trends in the mix of closing to existing owners versus new buyers? It might imply that you're selling more upgrades. And is that your expectation going forward to sell more upgrades, which typically have higher margins than to new owners? Thank you.
Michael Brown: There's a few details in your question. The more upgrades comment, if you look at our new owner mix in Q1, what happened this year, it returned to our historical levels. What we saw in 2023 and 2022 for Q1 percentage of sales being new owners. So that was very comforting for us that our mix was right back where we've traditionally seen it in historical years. Last year, if you remember, was an anomaly where we were over 35% because of the investments we put in '22 and '23 to really reopen our marketing channels. So a lot of tour flow came through. In Q1 of last year, we generated new owners, which led to what always happened after the summer as we evaluated all of those channels. We pulled back on some, eliminated some, and reinvested in others. So as we start this year at the new owner mix, we're very comfortable where that is, and we'd expect that to grow as we move into the summertime. As it relates to individual closing percentages, you've read the room very well as it relates to close rates. Our owner business had stronger close rates year on year. And I think that makes a lot of sense as uncertainty or questions arise around travel. Owners see the value of their ownership, as we mentioned, 80% have fully paid, average tenure 17 years, which means people are vacationing for extremely high value, and there's no reason for them to defer, and they see the value even more when there's uncertainty ahead. So our owner close rates were a tad up in Q1, and I think equally on the new owner side. People that haven't enjoyed a decade's worth of tremendous value are a little more hesitant to make the decisions, and our new owner close rate was slightly down, sort of similar to how we were slightly up on the owner. But our long-term outlook is, as it always is, we want to be 35% to 40% tour mix over time. And it doesn't need to hit it every single quarter, but as we look through a year and three-year cadence, we want to be in that 35% to 40% range for new owners.
Patrick Scholes: Okay. Thank you. I'm all set.
Operator: Thank you. Next question is coming from Dany Asad from Bank of America. Your line is now live.
Dany Asad: Hi. Good morning, everybody. We maintained full-year adjusted EBITDA, but we're lowering travel and membership. Does that mean we're raising VOI segment for the year? And maybe you just help us walk us through, you know, some of the offsets to lower T and M and higher provision. Like, what are we raising on the other side?
Mike Hug: Yep. Good morning, Dany. This is Mike. Great question. Really, the lowering of the TNM guidance is really just the shortfall we had in the first quarter, which obviously was covered by overperformance on the vacation ownership side. So the overall takedown of TNM doesn't really change our expectation for the last three quarters of the year. It's more just the first quarter flow-through, if you will, which once again was covered as we came in above the high end of our midpoint. As it relates to the provision, the 21% provision rate that I talked about in my script equates to about $15 or $16 million in EBITDA. If that were to come only from the VPGs, the strong VPGs, we're running that basically require a $50 VPG lift. But also keep in mind that we'll look across the entire organization to make sure that we do the things that we need to do to control our cost to be able to cover that. The good thing about identifying that at this point in the year is we've got seven months left. So a lot of time to obviously drive the strong VPGs, but just important to make sure the organization is focused on covering that. So I think it's just once again rolling through the first quarter on TNM and then identifying that higher provision early and making sure we, as I mentioned, drive VPGs and control our cost to get to the range that we have out there that, as you mentioned, we held for the year.
Dany Asad: Awesome. Thank you. Thank you very much. And then the back half of the year has, you know, a tour flow acceleration that's implied here. Can you maybe just help us, like, walk us through the drivers of that? Like, how do we get from, you know, the run rate of, let's say, the, you know, 4% total growth in the second quarter to, like, a, you know, maybe what looks like probably a high single-digit tour flow growth? Like, what are we gonna, where we, how do we get there?
Michael Brown: Well, I'll circle back around to what I shared with Patrick in the last question as it relates to the cadence over the last three to four years on tour flow. We were down in Q1 simply because we were coming off a really tough comp in Q1 of last year, where we had benefited from two years of marketing buildup that culminated in the first half of 2024. And if you remember, our tour flow percentage growth came down as the year progressed. And we communicated that that was really a continued fine-tuning of which marketing program we thought were sustainable for the long haul. So there's a combination of ease to play through and if we get our full-year run rate in 2025. So it's a combination of those two items that allow us to have confidence that our tour flow will move up to that mid-single-digit range.
Dany Asad: Got it. Thank you very much.
Operator: Thank you. Next question today is coming from Chris Woronka from Deutsche Bank. Your line is now live.
Chris Woronka: Hey, good morning, guys. And Mike, really appreciate all the interactions and perspectives over the years. So all the best to you in retirement.
Mike Hug: Thanks, Chris.
Chris Woronka: Yeah. Did have a couple of questions. I guess, first on the, you know, I'm taking up the provision. You guys have already covered off the graph there, but any more color to add on just where that, yeah. I know that the slight uptick you mentioned, you mentioned better collections, but the uptick you did see in March, is there any way to, you know, break that down a little further, give us some color on where that came from, what type of customer it was, is it the customer you would expect to see defaulting or something else?
Mike Hug: Yes. So really, it didn't just come in March. It's kind of throughout the quarter we saw kind of a higher level of delinquencies and obviously ended up the quarter at a higher level than we expected. It's really coming from all channels. I wouldn't say it's, you know, there's one particular channel we can point to or one particular customer we can point to. Obviously, the lower FICO's are impacted a little bit more than the higher FICO's when it comes to the ability to pay. But overall, it's kind of across the board. Keep in mind we're talking about, as I mentioned, a number that's $15 or $16 million as far as the incremental provision. So overall, I think we're pretty happy with where the portfolio is coming in with compared to maybe where some people thought it might. And I would also point out that, you know, we were able to execute the ABS transaction in March like we always do. Great terms there, and, you know, think about the note holders that are buying into that transaction. Basically, they're buying into, you know, a portfolio of loans. So to me, that's always a good reaffirmation that others believe in the quality of our portfolio as well. So look, it's ten-year loss curves that we use. Seeing some movement up kind of across all the bands. But overall, pretty happy with our chat and hopefully the improvements we're seeing in April will continue through the quarter and throughout the year as people book their vacations.
Chris Woronka: Okay. Fair enough. Thanks, Mike. And as a follow-up, appreciate the incremental data point on the booking window. That's it still sounds pretty healthy, but the question would be, that kinda takes us, I guess, on average into well, into August with 116 days now. Typically, do you see, I'm really thinking about Q4, right, and kinda what's left to do, how much of a lift is that to, you know, to make guidance. And, you know, when do you typically start seeing bookings for Q4 come in, is there any seasonality to the, you know, to the booking of the tour package in that quarter, or how should we maybe think about, you know, what's left to do in Q4? Thanks.
Michael Brown: Yeah. So the average is 116, which means we do have the tail that's well beyond that and into the fourth quarter. And although we say that the summer bookings are at our expectation, we do have a look, and if there's anything showing up with our bookings into Q4, granted they're fewer and they're further out. But you can already get early trend lines into Q4 now to see if there's anything, any anomalies coming up. And again, there's nothing really, and it's the point of a lot of our commentary is, as you'd expect with the uncertainty that's out there, you would expect our business to have tweaks up and down across the enterprise. And that's exactly what we tried to communicate today, knowing that as we've had some metrics come in a bit behind where we expected, Q1 had areas that again covered those shortfalls and even exceeded them. But right now, there's nothing in Q4 that gives us any concern.
Mike Hug: The other thing I'd point out about Q4, similar to Q1, is it's our second heaviest owner travel quarter when you look at summer months being the heaviest newer travels as a percentage. So I think when we think about confidence in Q4, as we saw in Q1, we believe our owners are going to travel. See the value. They've paid for their product in 80% of cases. So I think that's the other part about Q4 is it's less reliant on new owner tours, more relying on those resilient owners that we have.
Chris Woronka: Okay. Super helpful. Thanks, guys.
Operator: Thank you. Next question today is coming from Lizzie Dove from Goldman Sachs Asset Management. Your line is now live.
Lizzie Dove: Hi there. Thanks for taking the question. I guess first one, there's been a lot of headlines about slowdown in international tourism into the US, some boycotts to the US, along those lines. I'm curious just firstly, any disclosure you have around, like, the percent, particularly for your domestic properties that are, you know, whether it's Canada, Mexico, just, you know, international exposure there, and whether you have seen any slowdown, whether it be on bookings or anything else on the kind of international side?
Michael Brown: Good morning or good afternoon, Lizzie. The makeup of our owner base is or our revenue is about 90% North America and pretty much all in the United States. We do have nearing 10% that's in the Asia Pacific region. So when you look at both sales and bookings, we're not seeing any impact as it relates to the international travel impact. We do have a good number of resorts in Canada, and we are seeing a bit more loyalty to the Canadian resorts from our Canadian members, which is very consistent with I think what everyone's seeing broadly. We have no exposure really to Europe and minimal resorts in Mexico. So all that's to say that no, it's the international commentary that's out there today is not affecting our business. As the Asia Pacific more specifically tends to stay and travel within their region, primarily Australia and Thailand, and New Zealand.
Lizzie Dove: Got it. That's helpful. And then I guess when we're in this kind of choppier or more uncertain macro environment, is there any change to how you think about capital allocation, you know, obviously, you've been pretty consistent with share repurchases, but I'm curious, like, whether that changes in this kind of environment.
Mike Hug: Hey, Lizzie. This is Mike. Thanks for the question. I think we reiterated both our EBITDA and our free cash flow conversion being at over 50% of EBITDA. So as we sit here today, I think we're confident in our business. We're confident in our cash flow. Obviously, we executed the ABS transaction. We extended the maturity on the ABS condo to August of 2027. So I think everything we did in the quarter in April really sets us up to continue to be consistent with our capital allocation. Obviously, we increased the dividend and mentioned that we'll recommend that same level of $0.56 per share. And then, you know, the share repurchases of $70 million in the first quarter were very consistent with what we've done on a quarterly basis the last two years. So I think we remain confident in the business, confident in our cash flow, and at this time, I don't see us needing to really make any significant changes as it relates to capital allocation.
Lizzie Dove: Got it. Thank you.
Operator: Our next question is coming from Ben Chaiken from Mizuho Securities. Your line is now live.
Ben Chaiken: Hey, good morning, Mike. Congratulations and good luck. Two quick ones. I'd love to dig into exchange a little more. I guess the transaction volume declining from industry consolidation makes sense, but it also isn't necessarily new. I guess, optically, it looks like the decline somewhat accelerated. So was there a comp issue that we can't really see, or was there a change in the way people are exchanging in the current macro for some reason? Does the question make sense? Meaning, I totally understand the industry consolidation angle. It's optically it looks like a step down a little more a little faster than we would have expected in Q1.
Michael Brown: Well, no. In this case, the numbers are what the numbers are. There's not a year-on-year comp issue. I think what we're seeing both in our business, because we're a client of the exchange business as well as many other affiliates out there, is, as uncertainty rises, there is a tendency to want to keep your members within your club because the great thing about timeshare is there's a lot of value. Satisfaction rates are high, and they see the value of purchasing more. So I think it's a natural phenomenon that we saw. Within the quarter, there was variation. January and February started slower, and we saw a noticeable pickup of exchange transactions as the quarter ended. We'll see if that, which one of those trends continue. We don't know yet. It's too early to say for Q2. But candidly, Ben, I think it's just the reality of how the evolution of the space has evolved, and we have not tried to sit quietly and just let it happen. As we shared, we launched a travel club business, and although it can't offset the exchange reductions, we are seeing growth in that space. We mentioned there will be an acceleration, and all that's just to flatten the curve and allow the VO business to really shine like it did in Q1.
Ben Chaiken: Understood. That's very helpful. And then a quick question on SI. I guess, is there any updated timing on Tuscaloosa? And can you start selling the product? I believe maybe last quarter, you put some inventory into the trusts. I'm not mistaken. I think you did a conversion. If I'm not mistaken.
Michael Brown: So I should correct what was understood from last quarter. We will be putting a conversion into the Sports Illustrated Trust this year. We are finalizing a deal as we speak. So look forward to sharing that in the near future. It's not finalized, so can't discuss it quite yet, but we will be putting that into the trust, and that will allow us, being a conversion, to move into sales very quickly. Which is why in our prepared remarks, we said we look forward to being in sales this year on Sports Illustrated.
Ben Chaiken: Got it. Understood. Thank you very much.
Operator: Thank you. Next question today is coming from Steven Grambling from Morgan Stanley. Your line is now live.
Steven Grambling: Hey, thank you. I guess in the past when you've seen a deterioration in demand, you've typically kind of pivoted to selling to existing owners. I guess, how would you think about the opportunity to upgrade existing owners or, you know, how the pulling that lever in today's environment might compare to the past as we look at how your existing owner base looks now versus other instances.
Michael Brown: Well, I think the option, Alex, we have that you mentioned, Steven, is absolutely there. We don't view where any we're at that point, which is why I think it's important you have to look at our Q1 performance compared to sort of 2023 and 2022 as being at a normal run rate. We're investing the same with new owners. Our owners, to your question, are in very good shape. Our household incomes have moved up. The age category has moved down for new owners. And, ultimately, our changes that we make coming out of COVID to step up our marketing criteria. I think all in all, it puts our owner base in a very good space. Maybe a little bit of a softer component of that, and it's why we highlighted it in this call, is we are spending a lot of our run rate capital, operating capital, putting it back into the consumer, and the Club Wyndham app is reactivating owners. It's getting them to use more. And we're long overdue to update the WorldMark capabilities as well. And we think that's going to be extremely well received. So economically, it's one answer, but ultimately, we always know in this business if your consumers are using their product, they're going to buy more, and our efforts are not sorry, are to really get owners using their ownership more and that with less friction, and the less friction is, you know, and Mike Hug tells his own anecdote about booking his vacations on our app as well and doing it in a record amount of time. So we're super excited about where we're going, and we're super excited about our owner base being in a really good place to do what exactly what you indicate, but we're not at that point yet.
Steven Grambling: That's helpful. And maybe one quick follow-up. And maybe I missed this, but did you disclose kind of the composition of owner growth in the quarter and then maybe how that's compared over the past couple of quarters if you think about gross ads, attrition, and getting kind of a net owner growth?
Mike Hug: Yeah. I think when you look at transaction mix, it was 31% new owner sales in the quarter. Right in line with where we expected as tour flow came in line with where we expected. We would expect as new owners grow throughout Q3 and Q4, Q2, that we'll get an increase in the new owner mix and kind of end the year in that 35% range. If you looked at it on our account, it would be down a little bit, which it always is in the first quarter just because it's the lowest new owner, but overall for the full year, we're still expecting to be in that 35% transaction new owner transaction range.
Steven Grambling: Thank you.
Operator: Thank you. Next question is coming from Brandt Montour from Barclays. Your line is now live.
Brandt Montour: Good morning, everybody. Thanks for taking my question and congrats again to Mike Hug. We'll miss you. So on my first question is a different way of asking Steven's question. I know that you guys don't have a crystal ball on the economy, and I know, Michael, that you guys aren't at that point yet. But the first thing, I mean, the first two things that we would expect to see if there was a slowdown in your business would be, you know, an uptick in delinquencies and a downtick in new owner close rates, both of which, you know, you guys called out today to some extent, even if it's minor. And so I guess the question is, you know, summer is a big new owner sales season, new owner close rates are what you called out was a little bit soft toward the end of the quarter. And so you know, you have optionality. You just mentioned that. How quickly could you deploy that optionality? And is there other levers that you'd pull even before that? Incentives, promotions, hotel points, or, you know, what are sort of the playbook look like if new owner close rates slow further from here?
Michael Brown: Well, let me first say that even during COVID, we didn't pull some of those levers you've mentioned of discounting and incremental noticeable incentives. Our performance really tends to be our performance. And we were a strong believer in maintaining steady pricing over time. And in the inflationary period, that really helped us because people even more saw the value, and it's about creating the owners. Specific to your question, we can react very quickly, but we think our business has a lot of variables that we as a management team will move very quickly to resolve. And that's not just the owner side of sales, but we all we have a full cost structure. We also believe that as we move into this second and the third quarter, we have exciting new things coming our way that should propel our business. And ultimately, Q1 was a quarter that saw sentiment decline one study, from something like 75, 78 down to 50. And that's a dramatic drop. And in the midst of all that, there were minor adjustments to closing percentages, and they were minor. And I just I think we have a lot of confidence that there will continue to be minor adjustments up and down to portfolio to close rates, and ultimately to VPG. But I think it's all within our grasp as far as management's ability to toggle throughout the summer and into the fall should there be changes to the economy that would warrant it. Mike and I often comment that we haven't seen a normal pullback since what 2001. We all sort of imagine the great financial crisis, which we accessed the market within months, COVID, which we accessed the market within, I think, two months, and both times, we came out with a stronger consumer with higher satisfaction. If this is your normal pullback, I think not only Mike and I, but the entire management team as well within their capabilities to toggle, you know, the owner side of the equation, the cost side of the equation, and just new initiatives to make sure we get through to the other side. And if we do, we really are hopeful that we'll be able to turn around and say to you all and to the buy side, we've been saying it for a long time that this is a highly resilient business. Where vacations aren't discretionary, and we can continue to return a high degree of capital to our shareholders in good times and in trough periods in the economy. But let's hope we don't have to see that this summer.
Brandt Montour: Okay. That's a great answer. A second follow-up would be separate to the SI portfolio and the sales that you were mentioning just a minute ago. You know, in Tuscaloosa, one of the things that we hear about, you know, deals related to college sports programs, and sort of the it's really the seasonality that makes it difficult for that model because people all want to stay during football season. Right? I mean, that or graduation weekend or etcetera. And there's sort of, you know, good swaths of the calendar that you don't have people wanting to utilize that capacity from an owner's perspective. And I apologize if you could address this issue. Maybe it's not an issue in past calls. I don't remember. And so I just wanted to make sure I understand, you know, is that something that is a detractor of this model? And do you think you've sort of gotten past that or figured out a way to smooth that out? And making it work from an economic perspective?
Michael Brown: Well, let me tackle that on two different fronts. Maybe professionally and personally. Professionally, you think about the ski destinations and places like Park City, Breckenridge, Vail, Aspen, the Northeast. And the same commentary was always around ski destinations. Park City today you get great rates during ski season, especially Presidents and Christmas New Year. But guess what, they say, Park City is you come for the ski season and you stay for the summer. And that's what I think is very much the case in college towns. There's a reason why Hilton believed in The Graduate because and I'll maybe transition to the personal side is if you've had a kid that's gone through college, you're not there for only football games. You're there for graduations. You're there for the other sporting events. You're there for parents' weekend. And although it feels like there's only one sport eventually that's gonna be in college sports, it's really a year-round calendar that parents are equally as passionate about women's volleyball or men's track as they are about college football, just may not be orders of magnitude. So I think that's a very natural reaction similar to what it was in ski, the ski destinations, but ski destinations have proven that they do very well year-round.
Mike Hug: Yes. And I would add, I mean, these college communities are also trying to use the assets they have to drive incremental revenues into their town. I mean, the EPL, right, European Soccer League is now, you know, coming over the summertime and playing in some of these college stadiums. A lot of concerts nowadays are occurring in the summer in the college football stadiums in the arena. So if you look at, you know, what Marco mentioned plus what the towns themselves are doing to try to, you know, bring additional attractions, if you will, or entertainment into their destinations during the off-season. I think that gives us confidence as well that us working with them will be great in terms of just driving additional demand into those communities.
Brandt Montour: Thank you.
Operator: Thank you. We've reached the end of our question and answer session. I'd like to turn back over to Michael Brown for any further or closing comments.
Michael Brown: I do. And there's one component I omitted, which I do want to just share with everyone that as Mike exits, we are at the final stage of our search process and anticipate announcing Mike's replacement very soon. And are pleased that it will allow us for an overlap in a very smooth and orderly transition, nothing short of what you would expect with Mike. But before we do wrap up, I definitely want to take a moment and acknowledge once again that this is Mike Hug's final earnings call as the CFO of Travel + Leisure Co. His leadership and commitment to this company have made a lasting impact. Thank you for everything. And it's only appropriate that you provide today's closing remarks.
Mike Hug: Thanks again, Michael. As we close out today's call, I just want to take a moment to reflect and express my gratitude. It's been an incredible experience to serve as CFO of Travel + Leisure Co. Over the years, I've had the privilege of working alongside an exceptional team, navigating both opportunities and challenges, and helping shape a company that I truly believe in. I'm proud of the progress we've made and the resilience we've shown across market cycles. I want to thank all the Travel + Leisure associates whose hard work and dedication continue to drive this business forward. I also want to thank our investors and analysts for your support, your questions, and your partnership over the years. I'm confident this company is in a strong position both financially and operationally. And I have faith that the team that we have will carry the torch forward. Thank you again for the trust you placed in me. It's been an honor.
Operator: Thank you. That does conclude today's teleconference and webcast. You may disconnect your line at this time and have a wonderful day. We thank you for your participation today.